Operator: Good day, ladies and gentlemen, and welcome to the Sharps Compliance Third Quarter 2022 Earnings Call. At this time, all participants have been placed on a listen-only mode and the floor will be opened for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Jen Belodeau with IMS Investor Relations. Ma'am, the floor is yours.
Jen Belodeau: Thank you. Good morning and welcome to the Sharps Compliance third quarter fiscal 2022 earnings call. On the call today we have Pat Mulloy, the company's President and Chief Executive Officer; Eric Bauer, Executive Vice President and Chief Financial Officer; and Diana Diaz, Chief Accounting Officer Pat will review the company's business performance, operations and outlook, while Eric will review the financials. Immediately following their formal remarks, we will take questions from our call participants. As you're aware, we may make some forward-looking statements during the formal presentation and in the question-and-answer portion of this teleconference. These statements apply to future events, which are subject to risks and uncertainties, as well as other factors that could cause results to differ materially from where we are today. These factors are outlined in our earnings release, as well as in documents filed by the company with the Securities and Exchange Commission. These can be found at the Sharps website or at sec.gov. With that out of the way, let me turn the call over to Pat to begin the review and discussion. Go ahead, Pat.
Pat Mulloy: Yes. Thank you, Jen, and its good to be with all of you this morning. Good morning. Thank you for participating in our third quarter fiscal 2022 earnings call. As most of you know, this is my first earnings call since my appointment as the Sharps CEO in early April. In fact, this is my fifth week on the job. I had the pleasure of speaking with many of you during this transition in leadership, and I appreciate your time and your guidance, and I'm glad to be with you today. While it is still relatively early in my tenure as the CEO here at Sharps, I have served as a Director of this company since February of 2021. And over the course of the last 25 years, I've run three different senior housing operating companies. I have to tell you that as much as I was drawn to the mission of senior care and senior housing; I love the mission that as ours here at Sharps. Our mission of providing safe, secure, compliant and environmentally sound health care workspaces is vital. This pandemic has taught us all a host of lessons. But one of the most critical is the safe, healthy, compliant workspaces for the health care providers across this country is paramount. Our mission, helping health care providers dispose off their waste material in mailback solutions, by route-based pickup solutions and creating innovative solutions for the proper disposal of unused medications is more relevant than it ever has been. We provide a critical service to health care providers in this country. I fully recognize after five weeks in my seat that I stand on the shoulders of lots of individuals who have worked hard over 20-plus years to build the business that is Sharps today. In my fifth week here, from the office, in which I now sit, I can tell you that we are a nimble, smart, customer service oriented team. We built three great core product offerings. Our founding product of innovative mailback solutions, our innovative unused medication and controlled substances disposition system, the MedSafe product, and an ever-expanding route-based network that serves over 80-plus-percent of the US health care provider population network in this country. From the start of my time as a Sharp's Board member, I believed that our company has a tremendous opportunity to truly scale this business, with the potential to become much larger than we are today. Thoughtful focused growth is my primary focus. Since my appointment as CEO, I’ve spent a lot of time, a great deal of time with our associates across our businesses. In the next several weeks, I will tour our New York-based facilities, our Nesquehoning facilities in Pennsylvania, our Carthage, Texas facilities. We have the people, products and infrastructure to aggressively expand our geographic reach and to capture market share, both organically and through acquisition. That was our strategy before I became CEO and will continue to be our strategy. I'm energized by what I've seen so far, and I'm excited to be leading this company at what I believe is a pivotal time in its development. Now, to the quarter. Our third quarter results are largely in line with our expectations, and they reflect a return to more normalized market conditions, following unusually strong performance in the March quarter of fiscal 2021, which as you know, benefited significantly from COVID-19 immunization activities. March has historically been our slowest revenue quarter, due to seasonality and customer ordering patterns. So we believe that looking at March 2020, a pre-COVID period provides a helpful more normalized comparison. With that being said, third quarter 2022 revenue of $17.6 million shows a significant 69% increase as compared to the third quarter fiscal 2020 pre-COVID revenue of $10.4 million. Our gross margin of 28% was lower than anticipated, primarily due to higher costs related to hiring additional operating personnel to meet increased demand, which required increased wages to match market conditions. Our success relies on our ability to drive customer service, to have the right people in place, to ensure that we can provide uninterrupted service to our customer base. So while the expense causes some short-term margin pressure, we believe that the long-term benefits far outweigh the cost. Also, like the rest of the entire country, we are feeling the impact of higher fuel costs, particularly as we want to run our route-based business. In a few minutes, Eric can give you a little bit more color and context on that. To cover the increased operating costs of our solutions and services during the quarter, we implemented a number of customer price increases. However, these increases were not yet fully reflected in the revenue during the third quarter of fiscal 2022. We expect that the full impact of our cost mitigation initiatives will alleviate potential continued cost increases going forward. Our route-based business continue to perform well in the quarter, with a 21% increase in route-based customer locations, to bring us to 18,600 locations compared to 15,400 in the third quarter of last year. That drive in customer locations has resulted in an increase -- 12% increase quarter-over-quarter in route-based billings. Related to our route-based growth, professional market billings grew 19% compared to the prior year third quarter, again consistent with the increase in route-based customer locations. During the quarter, we closed our acquisition of Midwest Medical Waste, a full-service route-based provider of medical waste solutions that serves over 600 customer locations across Kansas, and we have fully integrated those operations. We remain intently focused on growing our route-based footprint, both organically and via strategic acquisition and our acquisition pipeline is uninterrupted, it's robust and it's very active. Looking at unused medication. Billings grew 1% for the quarter. Within this quarter -- excuse me, within this category, MedSafe billings increased 19% to $1.5 million. That was driven by a 20% increase in the number of MedSafe liners sold and a 19% increase in liners returned. These results illustrate the success of the recurring revenue model generated from the MedSafe offering. We're focused on the continued rollout of MedSafe to retail pharmacies, as well as the long-term care market. And as we previously discussed, during the quarter, we announced a partnership with PharMerica, a nationwide leader in long-term care pharmacy services in a relationship that I helped bring to the table as a Board member. I look forward to working with them and other long-term care pharmacies to solve a complex problem. It's a bit of an overlooked problem in the post-acute skilled nursing assisted living world that regulators are increasingly demanding more and more compliance, and MedSafe, frankly, is the cleanest, simplest solution to help solve this problem in the post-acute space, and we're in the early innings of our growth in that area. With my experience in senior housing and long-term care, I can't emphasize enough on a challenge the industry faces when it comes to the proper cost effect and compliance management of unused medications, which oftentimes includes controlled substances and hazardous waste. Medication management in this space has always been a proud one and the focus now on compliant disposal solutions that focus -- positions us uniquely in the market. Additionally, every senior housing providers they're trying to rebound post-COVID, whether it's skilled nursing or whether it's assisted living or independent living or dementia care communities, they're reexamining every way they're doing business to try to find better and more cost-effective solutions. And we believe that MedSafe is the ideal solution for this particular issue. As you know, MedSafe was developed in response to DEA, proper disposal regulations that were established in 2015. Our receptacle is critical in attacking the controlled substance diversion issue, which is real, both for consumers and people out in the marketplace and it's real for long-term care providers. We believe the runway in front of us as it relates to MedSafe is tremendous. Of our nearly 7,000 receptacles currently in place, I think this is an interesting point. Of the nearly 7,000 receptacles we have in place across the country, only 900 are in the long-term care space. There's 16,000 skilled nursing communities and nearly 30,000, about 29,000 assisted living communities across this country. We're rolling up our sleeves and we intend to meet the demand in this space and penetrate these markets. With its proven success in the retail pharmacy and government markets, we believe there's tremendous opportunity to move aggressively, roll out the MedSafe to long-term care and assisted living markets. We look forward to leveraging our PharMerica partnership and working with other long-term care pharmacies to increase adoption of this particular product to these facilities. Last, before I turn it over to Eric. As you saw last evening, we filed an 8-K concerning the restatement of our consolidated financial statements for the first and second quarters of fiscal 2022 related to underreported freight costs associated with the misunderstanding with our largest carrier regarding services rendered during those quarters. The cost for services during the first and second quarters were invoiced at a later date because of a billing error by our largest carrier and related to a change in their software billing program that impacted one of our facilities. The majority of these invoices were received between three and six months late, all during the third quarter of the fiscal year and many of the charges had no dates of service attached. We formally disputed these charges with the carrier and successfully negotiated a refund of nearly $300,000 because of their error. We were willing to take the entire charge in the third quarter, but after discussions with the auditors, we agreed to allocate the charges retroactively in the first and second quarters of fiscal year 2022. Let me be clear, this restatement is about reallocation of cost to the two prior quarters. It has no impact, no effect on the full fiscal 2022 financials and does not affect fiscal year 2021. Importantly, revenue, cash flows from operating activities and net changes in cash and cash equivalents are not affected by these adjustments. The issue is resolved. It is settled and our relationship with this carrier was and continues to remain excellent. The details can be found in the 8-K. As we move through the balance of fiscal 2022, we are intent on growing Sharps' leadership position into comprehensive provider of cost-efficient, compliance solutions for the disposal of hazardous and medical waste. We're also focused on continuing to expand our leadership role in helping to prevent the continued circulation of unused medications that often lead to accidental overdose, use of our MedSafe and TakeAway envelope solutions, which I've discussed. This is an exciting time for Sharps with significant opportunity for us to grow our footprint and expand our solutions across all of the markets we serve. We see great potential for the organic growth of our route-based business as well as many promising acquisition opportunities fueled by a robust acquisition pipeline. And despite the short time that I've been in the CEO seat, I'm more than confident that we have the right people, solutions and infrastructure to take this company to the next level. Thank you for your time. I'll turn it now over to my colleague, Eric Bauer, our new CFO, to address the financials in more detail. Thank you.
Eric Bauer: Thank you, Pat. We reported revenue for the quarter of $17.6 million, a decrease of $10 million or 36%. As Pat mentioned earlier, excluding COVID-19 related immunization activity, third quarter 2022 revenue increased 24% as compared to third quarter 2021. Customer billings were $17.1 million in the third quarter of fiscal 2022, a decrease of $13.9 million or 45%. Immunization-related mailback billings were $2.9 million in the third quarter of fiscal 2022, compared to $20.2 million in the prior year period. Excluding COVID-19 related immunization mailbacks, customer billings increased 31%. Professional market billings increased 19% to $5.5 million in the third quarter of fiscal 2022, as compared to $4.6 million in the third quarter of 2021, consistent with the increase in route-based customer locations. On that note, this is the first quarter we have realized over $4 million in revenue in the route-based business, driven primarily by the increase in the professional market billings. Retail market billings decreased 79% to $4.6 million in the third quarter of fiscal 2022, as compared to $21.7 million in the same prior year period, reflecting returns to more normalized activity following the surge in immunization activity that occurred in March 2021 quarter related to demand for the COVID-19 vaccine. Within the retail market, immunization-related orders were $2.9 million in the third quarter of fiscal 2022, compared to $20.2 million in the same prior year period. Compared to the pre-COVID third quarter of fiscal 2020, retail market billings for immunizations increased $2.2 million in the current quarter from $600,000 in the third quarter of fiscal 2020, an increase of over 350%. Year-to-date billings are $9.3 million. Pharmaceutical Manufacturer market billings increased by $1.9 million to $2.5 million in the third quarter of fiscal 2022, as compared to $0.6 million in the same prior year period related to the timing of inventory builds for patient support programs. Long-term care billings decreased 10% or to $0.9 million in the third quarter of fiscal 2022, compared to $1 million in the prior year period, related primarily to heightened volume of COVID-19 related waste management in the prior year, most of which impacted the route-based customer billings. Billings for Unused Medications in the third quarter of fiscal 2022 stayed consistent with the same prior year period at $2.1 million. Within the Unused Medications category, MedSafe billings increased 19% to $1.5 million from $1.2 million in the prior year period, consistent with a 20% increase in MedSafe liners shift and a 19% increase in MedSafe liners returned for processing. The increase in MedSafe billings was mostly offset by a decrease in TakeAway envelope sales due to higher-than-normal sales in the prior year quarter. We installed 109 MedSafe’s during the third quarter compared to 141 in the same quarter prior year. On a year-to-date basis, we've installed 613 units, down 12% from the comparable three-quarter period for fiscal year 2021. Although, we believe there is opportunity remaining in the MedSafe’s retail space on the other side of COVID, we believe that there is significant growth opportunity in the PharMerica and other long-term care pharmacy relationships and customer base and the long-term care market in general. We believe calendar year 2022 MedSafe installed will be driven more by long-term care than retail pharmacy. And as Pat noted, of our nearly 7,000 installed MedSafe’s today, only 900 are in long-term care community. There are over 45,000 skilled and assisted living communities in the country. Related to utilization of existing installed MedSafe, MedSafe liners returned and processed in the third quarter of 2022 was 9,189, up 19% compared to 7,707 in the prior year quarter up. This primarily indicates more traffic in retail pharmacies. Liner ship of 9,843 is up 20% year-over-year. Total liners returns since program inception are over 113,000. Total MedSafe units installed wee 6,736 at March 31, 2022, and we reached an exciting milestone this quarter, having processed over 5 million pounds of medications in MedSafe liners since the inception of the program. Gross margin for the third quarter decreased to 28% compared to gross margin of 49% in the third quarter of fiscal 2021. SG&A increased by about $0.5 million or 13% to $4.7 million in the third quarter of fiscal 2022, compared to the same prior year quarter. The increase in SG&A is related primarily to $0.2 million in acquisition costs, $0.1 million in management transition costs and continued investment in sales and marketing. We reported near breakeven operating income in the third quarter of 2022, compared to operating income of $9 million in the third quarter of 2021. Sharps recorded a net loss of $0.3 million or a loss of $0.01 per basic and diluted share this quarter compared to net income of $6.9 million or $0.41 per basic and $0.40 per diluted share in the third quarter of 2021. The company reported EBITDA of $0.7 million in the third quarter of 2022 compared to EBITDA of $9.6 million in the third quarter of last year. Our balance sheet remains very strong with $26.7 million of cash, as of March 31, 2022, compared to $36 million of cash, as of December 31, 2021, $41.2 million at September 30, 2021, and $27.8 million at June 30, 2021. The company had working capital of $37.1 million at March 31, 2022, as compared to $27.9 million at June 30, 2021. Our strong balance sheet provides us with the opportunity to execute on our broader acquisition strategies to continue to work our active pipeline of opportunities. With that, I'll turn the call back to Pat.
Pat Mulloy: Great. Thanks, Eric. Operator, let's open it up for the Q&A session. And at the end of that, I've just got a few quick closing remarks, please.
Operator: Certainly. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Your first question for today is coming from Gerry Sweeney. Please announce your affiliation then pose your question.
Gerry Sweeney: Good morning. It's Gerry Sweeney from ROTH Capital. So thank you.
Eric Bauer: Hi, Gerry.
Gerry Sweeney: A question on the gross margins and I'm not sure if you necessarily have a detail, but do want to pose it at least. Is there a way you can bucket out how much of the impacted gross margins was due to new hiring and maybe some increased salaries, et cetera, just because of the inflationary environment. And then the follow-up would be to that, how do these price increases work? How long does it take to go through the system? And are all customers or contracts eligible, because I know you have a whole host of customers and how do we look at that working its way through the system?
Pat Mulloy: Why don't I speak at a high level first about the pricing, and then I'll turn it over to you because we were all talking about this morning. So Gerry then I will give you some context on the key drivers on costs. One of the first questions I got when I came -- or I got -- or I asked when I came on board five weeks ago was to start to begin to understand about pricing. And the good news here is that Diana and the team here and Diana has been a critical leader in the pricing of our products together with all of our operating leaders. They started to review last November when they started to see inflationary trends, particularly in fuel cost, labor costs for a lot of reasons that everybody is aware of. And they did a comprehensive examination starting in November of last year of every price, of every product that we have. As you all know, one of the reputational issues for Sharps is that we are a customer-friendly organization and that our contracts are fairly straightforward. They're fairly direct. And so there are some contractual limitations to what we can do. But where we can drive costs and drive price increases. We did that in an appropriate way beginning in last November across every product line. And there's some one-off situations I'm not going to get in and discuss actual products and percentages of increases. But that comprehensive, I mean, it's a normal part of our business, but the comprehensive look starting in the last November really resulted in a series of price increases that began in earnest in this third quarter, they're not fully implemented yet. You will see more robust revenue increase because of those price increases, more fully implemented in the fourth quarter. Let me ask, Eric, if you want to speak and give context to the cost drivers, I think that would be helpful to particular in terms of labor, fuel, all that.
Eric Bauer : Yeah. And on the margin, a part of that also is just, a lot of the mailback activity we had last year, here we're seeing a lot of the expense falling through that.
Diana Diaz: Correct. So as we said before, the margin when we sell the immunization mailback is a bit higher than it is when they come back. And so there is some swing in the margin during those different quarters.
Pat Mulloy: But also on the cost piece of it, and we've been looking at every single facet of our business from diesel costs to aluminum costs for RV polls, to corrugate, to labor. And we've seen, particularly on the driver side and on the labor side, we've seen a lot of the increases also on the fuel side that other folks have seen. But when we look at it from a cost perspective; A, a lot of that, as we mentioned in the earnings release, in fact, comment was related to really just in to fill seats because we need good people and we need to have the appropriate number of people. And I think we were struggling to replace a lot of those drivers and other things needed, and not necessarily replace, but also add to meet a lot of the growth. And so -- but those two costs on the labor side and the gasoline side are really kind of less than 10% combined of our total operating costs. So, we feel like some of that was really just needing to scale up and get the right people in the right seats. And I think we feel that we are pretty much there at this point. So, we would hope that given that plus the price increases, we should really see an improvement there in the coming quarter -- in the coming quarters to go.
Gerry Sweeney: Got it. Switching gears a little bit to growth, right? So, obviously, you came from the long-term care industry and as you mentioned, part of the PharMerica agreement. How do we -- and I think there was even some comments on -- we expect more growth from long-term care than retail in this year?
Pat Mulloy: Yes, sir.
Gerry Sweeney: How do we look at that opportunity in terms of timing, what are some key milestones that maybe we could keep an eye out for to understand that, that relationship is moving forward and gaining some traction with some of those facilities?
Pat Mulloy: I think that's a great question. I'm going to spend money on Tuesday at the Argentum Conference, which is the leading conference for the private pay side of senior housing, it will be the first time I've been able to attend there and where the Sharp's batch to that conference. There will be 3,000, 4,000 people there -- the outgoing board chairs. So, it should get the company a little visibility. I'm not guaranteeing it will equate to sale. The metrics that I would watch though, is the one I gave you today that I think is an interesting metric out of nearly 7,000 of these boxes across the country, most of them are in hospitals and veterans locations and in one of our largest retail pharmacy customers. And -- but only 900 of them are in post-acute care. And I can tell you the issue of having lived in that business for 25 years, it wasn't an afterthought. That's an overstatement, but it was way down the food chain in terms of dealing with medication disposition issue. But medication diversion is really an important issue in that space. And so I would watch how many long-term care facilities where we implement these. I talked to Dennis Halligan yesterday, who is the team leader on this, drives our sales and marketing here and was really instrumental in building out this PharMerica relationship. And just in the last several months that we have been introducing to the national salesforce at PharMerica. So, it's in the early stages. So, let's stay tuned. We're going to figure out how to drive it the very best way possible through this industry. But it is a -- I mean, I've been in building after building over 20-something years, where you'll ask got those medications are disposed of because they most often come to you not build models, but they come in either multipack -- multi-dose packs, but bubble packs of different types and labor generally has to go through and empty those things out and then dispose of those drugs in a certain way. And the DEA rule in 2015, and I give David Tusa, the folks around here, credit for developing this product where all of the drugs can go in, they can all be disposed of and in a very cost-effective way, we take them away and incinerate them. There's just a huge amount of runway in front of us there.
Gerry Sweeney: Got you. And then one final question, I'll jump back in queue. On the route-based side, last year, we also saw some benefit, I think, from disposal PPE equipment out of long-term care. I'm just curious if that has sort of normalized as well in sort of -- in this sort of post-COVID environment that we're moving?
Pat Mulloy: Yes, I think it has. It was artificial, I mean, a lot of the operators during that whole quarantine period when grandmother got COVID, they stripped everything down, including bed mattresses and all of -- a lot of that stuff came through our -- not mattresses, mattress covers and sheets. A lot of that stuff came through our system, which is artificially high. But there's not clear visibility yet exactly where we are in the post-COVID world. I think we're all hoping that it's a post-COVID world or the word endemic is overused, so I'm not going to use that today, but it's -- yes, I think that's rationalized unless something new happens in terms of the pandemic, I don't think you'll see those artificial levels like you saw in this quarter a year ago.
Diana Diaz: Right. And we saw -- we talked about $250,000 on costs, $250,000 of costs in last year's route-based numbers that we really could see was related to COVID activity. And so that's a little bit of the headwinds in the comparison to last year.
Pat Mulloy: Yes. Having said that, businesses -- and I can't quantify this, Gerry, but those businesses are doing business differently now than they ever did before. There will be more gowning, more masking, more caution because as we all know from the data, they were the hardest hit because it's most frail population in the country, so.
Gerry Sweeney: Got it. But suffice to say, we're sort of in a normalized environment in tandem [ph].
Pat Mulloy: It appears we are.
Gerry Sweeney: Okay, got it. That’s better. Okay. Thank you very much. I appreciate you taking my questions.
Pat Mulloy: Okay. Thank you.
Operator: Your next question for today is coming from Rob Brown. Please announce your affiliation then pose your question.
Rob Brown: Hi, Rob Brown with Lake Street. Thanks for taking my question. First question is really on the margin. You sure think its recovering, where do you think -- can you get back to that low 30s range here pretty quickly, or does it take a few quarters? What's sort of the ramp rate you think on that margin recovery?
Pat Mulloy: Yes, I think -- and to your point, we touched on that a bit. I do think that we should see that between the price increases and also just some of these costs. Looks like we said, I think some of that was just getting the right people in the seats and I think we are passed that at this point. So, I would expect that we would see that come to normalize to move at that level over the next couple of quarters.
Rob Brown: Okay, great. And then on the mailback business, how much COVID impact do you think remains possible there? And how is the inventory in the channel at this point? Is it normal or is it elevated over from COVID?
Pat Mulloy: Eric…
Eric Bauer: Yes, sure. So as we mentioned, year-to-date, we've done about $9.3 million of immunizations. I think as we look forward to the next quarter, we've got about $1.4 million billings to-date with -- and I think frankly, we expect that to kind of be the way the fourth quarter shakes out. So, I think between that, the inventory, we do think is more normalized. I think what we're really focused on now between the inventory and the revenue is, frankly, how can we get this going forward to be a bit stronger. And I think the mailbacks themselves, we've done a good job of focusing on COVID, I think what we're really looking forward is to where at this time, we're going to see that shake out.
Pat Mulloy: Yes, it's interesting. If you look at the data and some of the graphs we look at internally, the immunization line, it has -- seems to have settled out pretty substantially above where it was pre-COVID. If you take that $2.9 million that Eric just mentioned in the third quarter of 2022 and we go back to the third quarter of 2020, which is a bit of an artificial comparison, but it's pre-COVID immunization number for that quarter was, I think, $700,000. So it's -- that's a substantial elevation and you can read all the information that we all read. And it's -- there's just not clarity yet on the level of boosters. You've got two-thirds of the country that’s fully vaccinated. You've got another 45% of that number that's got one booster, how deep and how far and how hard all that goes, I think, remains to be seen. So -- 
Pat Mulloy: That's right. And I think, as we mentioned on the inventory, we've seen a lot now burn off in the -- 
Diana Diaz: Correct. Correct.
Pat Mulloy: Yes. So I think it's really, at this point, is it more of a just-in-time versus some of the lumpiness, we've seen in the past. I think, as of now, we're seeing it kind of normalized a bit there versus the lumpiness so…
Rob Brown: Okay. I just wanted to clarify, in your statement did you say $1.4 million of billings thus far in the quarter, and that's sort of what you think came through the mailback segment or just the immunization.
Diana Diaz: We have $1.4 million of billings in hand today. So there could be more that come this quarter, but that's what we have right now.
Pat Mulloy: Through early May.
Diana Diaz: Through early May.
Pat Mulloy: Yes.
Rob Brown: Okay. Got it. All right. Thank you very much. I'll turn it over.
Pat Mulloy: Thank you.
Operator: Your next question for today is coming from Michael Hoffman. Please announce your affiliation then pose your question.
Michael Hoffman: Hi. Good morning. Thank you very much. Pardon, my voice has managed to lose it somewhere. If we could talk about some of the short-term aspects of growth and then, I have a bigger longer-term sort of, where do you go? And within the context of the MedSafe, the business pre-COVID had been on a pace of 300, 400 installs a quarter, call it, 1,200, 1,500 a year.
Pat Mulloy: Right.
Michael Hoffman: Can we get back to that without the assisted living and then add assisted living to that.
Pat Mulloy: Yes. We think that's reasonable. We think that's reasonable. We think there's a whole deep market though in, it's not just assisted living, its Senior Care generally, its assisted living and advanced skilled nursing. Yes.
Michael Hoffman: So -- but the point being is, there's a back to normal and then an incremental. And what's the thought of again, all the reasons why that got deferred, the pharmacies were distracted and everybody is distracted around COVID, but even in your own words and we're not calling an endemic or any of those things, but it seems like life's getting back to normal. And -- so what's the visibility on the return to that 300 pace before you then get to add the incremental?
Diana Diaz: We haven't seen any indication from our customers that they plan to stop their continued investment in the program. So that could change, but we have not seen any indication that they will stop adding units going forward.
Michael Hoffman: Okay. So it is a little over 100 in this last quarter. Are you seeing it ramp back towards that 300 in the fourth quarter?
Pat Mulloy: Sure.
Diana Diaz: We won't see investments from our larger customers in this calendar year.
Pat Mulloy: Okay.
Diana Diaz: They definitely said there's a pause this year, and I think we've talked about that in prior quarters. But after this calendar year, there is an expectation that it would continue.
Michael Hoffman: Okay. So its just -- not to belabor the point. We all have to remember that's straddling to your fiscal years, so it's your first half for next fiscal.
Diana Diaz: Exactly.
Michael Hoffman: Okay, right. So from the -- pardon me. Within the context of the cost issues, are there structural limitations on being able to do things like surcharging, or fees that help extend the point of leverage of trying to manage this inflation as opposed to only relying on a unit price?
Pat Mulloy: Diana, can you speak to that, the health care, the structure.
Diana Diaz: There aren't any structural limitations. It's -- we just need to decide how we want to address that and whether that's the approach we want to take or not.
Pat Mulloy: It's a pricing discussion and it's a philosophical difference that this company has had historically from some of the other competitors, that frankly has been a positive point of differentiation in the marketplace. But I get your point, we will look at everything and then we're going to be smart. We got to do that.
Michael Hoffman: Yes. Just expanding your optionality, I mean I get the best opportunity is raise absolute price. But if there's pressure on that, is there other options in an effort to recover some of this inflation.
Pat Mulloy: There are. We don't think there are any structural impediments to do it. It was an ongoing discussion point here.
Michael Hoffman: And then I don't think you guys would do this management change and continue at a pace that's a nice pace of growth, but it's on a low base. So, I'm asking a question that I realize probably gets to chuckle, but how does this turn into a $300 million or $400 million revenue company and when?
Pat Mulloy: You got a chuckle. That's my goal. My goal is--
Michael Hoffman: I'm going to laugh somewhere.
Pat Mulloy: No, that's all right. It's respectful. This $70 million platform ought to be twice or three times as big as we are and that's our goal to do it in a thoughtful way. We've got good organic growth embedded in the company. We have, as Eric pointed out a minute ago, one of the things that Dave Cruze did, David Martin did, a lot of other people around here did. Over the last year, we built out the infrastructure. We have the drivers. We have the locations. We have the dispatch centers, transfer stations. We have all of the infrastructure to grow this company and a great product offering on an organic basis. Eric and I are looking two, three times a week. We are in live conversations with our pipeline and we're trying to figure out how to grow it, and take bigger steps in an appropriate fashion, I'll just say it that way. It's -- there are some companies out there that are more -- that are bigger -- the Midwest acquisition is a very good acquisition. The affordable one. Indiana is a good acquisition. But we want to be wise and we want to be prudent, but we need to accelerate. So, I think out over the next several years, you should see us grow our revenue like I thought about.
Michael Hoffman: Right. And you do have a very admirable organic growth rate, albeit off of a small base. So, it’s a slower--
Pat Mulloy: That’s right.
Michael Hoffman: So, it's a slower rate of acceleration in the context of how does it turn into a $200 million revenue company, which means M&A and I'm just as curious about your thoughts about staying disciplined around returns, being able to pick the pace up and sort of, the addressable market, the willingness of a seller, you have to have a willing seller. Are they being pragmatic about valuation?
Pat Mulloy: Yes, it's interesting. Eric has had -- we were talking yesterday about this. It is -- when we look at some of the situations where we're looking, one of the interesting -- it's counterintuitive, but it's an opportunity is that you've got to go back and look at a business that's operated over the last year or two, if you're looking at their numbers, you've got to understand how much of that is artificial, how much of it is COVID? And so, I think there is a sort of coming back to the earth dynamic that's going on out there where owners are -- they've had the artificial quarters like the whole industry had during this same time period a year ago and now what does their business really look like going forward? And one of the things that we offer a potential seller is that we've got the scale and we've got the infrastructure, in fact with the economies to take on their business without a lot of incremental infrastructure. So I think that dynamic, we believe that that will be an important dynamic as we continue to push conversations. I hope that makes sense?
Michael Hoffman: And do you feel pretty good about a pool of -- because to get to 2 to 3x or so $200 million compounding on the organic side. Basically, there's got to be somewhere between $50 million and $75 million of M&A, too. Is there $50 million to $75 million of companies willing to sell?
Pat Mulloy: We believe there are targets in that stuff. Yes, yes.
Michael Hoffman: Okay. All right, great. Thank you very much.
Pat Mulloy: Thank you, Michael.
Operator: Your next question for today is coming from Kevin Steinke. Please announce your affiliation then pose your question.
Kevin Steinke: Good morning. Kevin Steinke, Barrington Research Associates.
Pat Mulloy: Hi Kevin.
Kevin Steinke: Hi. So just continuing up on the discussion about scaling the business and some discussion there about the acquisition pipeline and -- but when we think about scaling the business from an organic perspective and gaining greater penetration of the long-term care market and professional market and the others. Is that something where you feel like you need to apply more business development resources and sales resources to accelerate the pace organically? And would you be willing to make the upfront investments maybe at the cost of the margin side and the short-term, I guess.
Pat Mulloy: All of those issues are on the table. I challenge the conversations as recently as this week, our sales and marketing leader to rethink how we attack channels and all of that stuff, we're doing things very well here. But we think, we may be a bit more nimble and we need to think about how we accelerate that growth on the organic side. And, yes, there’s this business development side converses that Eric and I are having, yes -- so yes is the answer to both those questions
Kevin Steinke: All right, great. I don't know if it's possible for you to nail this down given the continuing changes in inflationary environment. But do you think, previously it's been talked about incremental gross margins of 45% or so. Is that still a reasonable way to think about the business?
Pat Mulloy: It is. And I think as we've done the acquisitions, if some other activity, we do feel like that's still a good number. I think we're going to wait and see on some of this inflation. I think we've seen a lot of it. And frankly, we are doing price increases to get there. So, I think we're pretty confident in that totaling the number.
Kevin Steinke: Okay. Thanks for taking the question. Appreciate it.
Pat Mulloy: Thank you.
Operator: There are no further questions in queue. I would like to turn the floor over to Pat Mulloy for closing remarks.
Pat Mulloy: Thank you. First of all, I appreciate everyone's time this morning, and thank you. In closing, I do want to leave you with just a few thoughts. First, as we noted, we corrected a one-time invoicing issue this quarter, caused by billing errors with our largest carrier. The restatement of costs only affected the current fiscal year and in no manner affected our revenue, our cash flows from operating activities or any of our cash or cash equivalent positions. Second, looking ahead, we believe that Sharps best days are in front of us. We have a great operating platform with three critical lines of business: mailbacks, route-based and unused medication disposition. In this third quarter, our route-based business billings were up third quarter – over third quarter by 12%. Our route locations increased 21% to almost 19,000 customer locations. I didn't -- I know the number, but I didn't really understand this data point this week. But this is the first quarter in the company's history that our route-based revenue exceeded $4 million. That's a tremendous milestone. Our professional market billings grew quarter-over-quarter by 19%. MedSafe liners shipped increased 20% quarter-over-quarter, validating our model. Non-COVID immunization revenue, non-COVID immunization revenue increased 24% quarter-over-quarter from $10.7 million third quarter of 2021 to $13.2 million in the third quarter of 2022. As we've talked about repeatedly, we made a conscious investment to build out our infrastructure and to grow this business and we are going to continue to aggressively pursue both organic growth and acquisition opportunities. I want to thank everyone for your time and appreciate it, and I look forward to speaking with you the next quarter. Everyone, take care.
End of Q&A:
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.